Operator: Good morning. My name is Chris, and I will be your conference operator today. At this time, I would like to welcome everyone to the Wix.com 2017 Third Quarter Financial Results Conference Call. [Operator Instructions]. Thank you. I will now hand it over to Maggie O'Donnell, Director of Investor Relations.
Maggie O'Donnell: Good morning. Welcome to Wix's third quarter 2017 earnings call. Joining me today to discuss our results are; Avishai Abrahami, CEO and Co-Founder; Nir Zohar, President and COO; and Lior Shemesh, CFO. Just as a note, Nir Zohar [indiscernible] so he won't be speaking much. During this call, we may make forward-looking statements, and these statements are based on current expectations and assumptions. Please consider the risk factors included in our press release and most recent Form 20-F that could cause our actual results to differ materially from these forward-looking statements. We do not undertake any obligation to update these forward-looking statements. In addition, we will comment on non-GAAP financial results, and you can find all reconciliations between our GAAP and non-GAAP results in our press release and presentation slides on the Investor Relations section of our website, investors.wix.com. On our Investor Relations site, you can also find our shareholder update and supplemental data sheet that we will post to provide some additional detail on our results. Now I'll hand it over to our Avishai Abrahami who is going to say a couple of quick words about the quarter and then we will go straight into Q&A. Avishai?
Avishai Abrahami: Thank you, Maggie, and good morning, everyone. I would like to quickly say a few words, and then we will be happy to take your questions. We had another great quarter and we saw continuous improvement in all of our key metrics, allowing us to raise our full year guidance. Revenue and collection both beat the high end of our expectations. Revenue grew 47% and collection grew 38% over the last year. We generated free cash flow of $90 million this quarter, which is double what we did a year ago. So I am really happy about this fantastic result. Our main priority continued to be our users. This quarter, we've added 5.2 million registered users and over 188,000 premium subscriptions. Earlier this year, we told you about how we are investing in several initiatives to scale and improve our global support function. As part of this effort, we've improved our product/new support tools and hired more support agents. I am happy to report that through these efforts, we have greatly improved our support we give our users. We view our users with the highest regards and care that they get great service. Turning to our products, a year after adding ADI to our platform, we are seeing it drive significant improvement to conversion rates. This quarter, conversion rates reached all-time high levels. In addition, I have been surprised to see that Wix ADI is not only being used by user with limited technical skill, but also by experts' developers and designer looking to finish their projects faster. In July, we announced Wix Code and I am excited to share that Wix Code data was a great success with nearly 7,000 participants, which was a much higher number than we expected. Wix Code better users have created a huge variety of website and application, which have been exciting to see. We believe that Wix Code to grow our total addressable market, 10X what it is today. Given the success of the beta, we are planning to begin rolling out Wix Code publicly in the coming weeks. With the Wix Editor, ADI and now Wix Code will truly have a platform that enable end user at any skill level to create any type of content online. To summarize, this was another great quarter that proved our focused on building the best technology and product directly contributes to our growth. Thank you for your time today. We will now turn to your questions.
Operator: We will now go ahead and take your questions. [Operator Instructions]. Your first question comes from Sterling Auty of JPMorgan. Your line is open.
Ugam Kamat: Hi guys. This is Ugam Kamat on for Sterling Auty. Thanks for taking the question. Strong quarter across the board on collections, but if I look at the average collection per subscriber, the metric has been down sequentially around 4%. Is it because of larger number of users shifting to monthly subscription? Or is there like people trying to get into more basis products?
Lior Shemesh: So actually, I think the device calculation to look at it – sorry, this is Lior. Device calculation to look at it is basically looking at the annual subscription coming from newcomers, and definitely we can see that it's actually increased. It also depends when you do the calculation out of the overall, our premium subscription, it might be misleading, because you also need to look at the ratio between monthly to yearly. Overall, we do see increasing our pro forma newcomers and I think that it's actually going to increase in the future while we've seen more and more users actually using vertical solution. And I think that one – another data point to add to that, we see that approximately 30% of our newcomers using right now any kinds of vertical solution that we provide and we are very excited about it.
Operator: Your next question comes from Deepak Mathivanan from Barclays. Your line is open.
Deepak Mathivanan: Hi guys. Thanks for taking the question. Two questions for me. So first, I wish over the last two to three years, you've launched one moonshot product every year, you know new Editor, ADI, and then Wix Code more recently. What is the product that you sort of in line for 2018? I mean if you don't want to be more specific, maybe what areas do you think are the opportunity to explore a new product? And then second question for Lior, it looks like from your cohort data you saw some subscriber gains from the earliest cohorts. Can you talk about what's driving that and how you should think about that going forward? Thanks.
Avishai Abrahami: So, about the moonshot product of next year. So this is not a target, right. This is not something that we've said to do. We always have projects driving here in the Wix lab where we are working on something new, and then when we see that has been materialized to add a lot of potential then we focus on executing it and completing it. And, to say that, I know exactly which one is going to be moonshot product of next year. I think I have an idea, but I am still waiting to see how it matures. And – but – I do feel very confident to say that we're going to have – next year is going to be a more interesting year. We're probably going to have more than one initiative that will add something very significant to what we do.
Lior Shemesh: Hi Deepak. This is Lior. So with regards to your question, we actually see a few things that were happening in the last few months. The first one is obviously, we reach a record high of conversion. I think that it's really interesting to look at the new quarter of Q1 – the latest quarter – the Q1 2017, and for the first time we actually passed the 4% conversion. This is quite amazing when you compare it towards the previous year. But we also saw that there is increase from other quarter, and the bottom line is product. I think that everything that we have done in the recent quarter view, and especially with the ADI, we saw that there is a very nice increase in conversion. At the same time, we also saw that there is a quite big improve in renewal, meaning that people are more satisfied with the solution and they are getting and looking for something that they really need and they are getting it with Wix platform. So you are absolutely right about it.
Operator: Your next question comes from Ron Josey from JMP Securities. Ron, your line is open.
Ron Josey: Great. Thanks for taking the questions. I just want to ask specifically on Code. With the pending global launch, can you talk about what in beta gave you more confidence in deciding to launch the product? Maybe you talk about the process of signing up to 7,000 web developers, given – I think you said was better than expected and build a community here on why Code is clearly a key component going forward. And then also any insight on the business model would be helpful? Thank you.
Avishai Abrahami: All right. So that's like five questions. But I'll be happy to answer it. It's super exciting. So first one is that what give us so much confidence? I think that there are two sides to that question. The first side is that the kind of users that has been Wix Code. So, we get the traditional developers right, and that was expected. Then we got the designers and that was – we anticipated that some will be able to master Code, as it requires good programming in some cases. But the thing that we found out that a lot of them did, more than that, we saw that in the – even that it's relatively small number, 7,000, right, we are adding 2 million users every month and the beta is 7,000, there is already a community of people that help and solve problems for others. And even a guy that is allowing designer to how to program to do everything they can in Code and then he will come and finish it. Okay. And those kinds of things created at least with me the belief that this product – the cloud that can use it is much bigger than what we anticipated. In addition to that, we got a lot of regular users right, using Wix Code. A lot of them are just you owner of small businesses, some are in college, but they have some knowledge about how to do basic – very basic programming and that's enough, and they can do really incredible projects. The other side of it is that I got very excited about is when I looked at the projects, right. So, the way I thought about, or is it going to be – see a mass of things that – complete websites and then some internal applications. But we've got like really creative projects, so from the standard, a real estate company that is now managing a bunch of their portfolio on a Wix Code site to few other regular standard websites. But then we got things that you know prepared here for plants, rights. That's completely something different. We got portals for traveling where some of these doing, it can match you up with anything you want from the hotels, to the tour guides, to recommendations and it's a full-blown portal and dinning month, right. And it's already working and we can see a lot of those very unique project, security project creative – a creative design and that allows you to get too many quotes, right from its platform work. So, a lot of things that we didn't anticipate that are manifesting themselves, we use the productivity into ARE using Code. And something that is pretty much at least for me amazing to see. The last part about the pricing, so we're going to start like everything we do in Wix, right, we're going to start currently the current pricing model and then we are going to start testing and to find what is the right pricing for different parts of Wix Code. This is something that we do with every product, so we optimize and it's usually the mostly and we try to find the right point between a conversion to user value. However, when somebody builds a complete portal, right for tourism, and at some point you probably going to needed more functionality which is more of higher end functionality. And I think it will probably require some additional price tier, probably higher price tiers and we've got some requests there from user to say that they wanted their own databases, their own system. So, this probably going is going present opportunities, but I think that you're going to see more about that in the second half of 2018. And when we are going to start actually adding more concrete data after testing and then we'll be able to stand behind in numbers that we give.
Operator: Your next question comes from Samad Samana from Stephens Incorporated. Samad, your line is open.
Samad Samana: Hi. Thanks for taking my questions. A couple on my end, first one for Lior. Lior, when I think about the initial commentary for R&D investing for next year? And discussing the context of R&D investment expense this quarter and the guidance for rest of the year? Maybe could you help us understand how much of that acceleration is due to keeping – investing for the ongoing innovation because you're driving versus new product development of the existing platform? And then if there is any chance to the R&D investment philosophy, because it seems they have not being getting as much leverage as we originally anticipated? And then I have a follow-up question.
Lior Shemesh: Sure. So let me start with the fact that except of two things which I elaborate, we do see leverage coming next year. From the ongoing operation, meaning that obviously we always has seen that fit and develop are the new generation of Wix, the new products of Wix, and also the existing one. And the enhancement will be our current product, so there is nothing the new about it. In the last quarter, we slightly increased the recruitment in order to support the Wix Code because we see a huge opportunity in that 10 times bigger markets. So I think that that was very, very important for us, but it was not extraordinary to the ongoing plans. And I think that you can notice that from the fact that the free cash flow has not been changed in terms of our guidance for 2017, actually we slightly increased that. Going back to 2018, most of the increase which I elaborate about in the shareholder report is basically coming from two things. The first one is from the Israeli shekel and the dollar rate. The Israeli shekel has strengthened against the dollar in the last few months. I assume that if the spot of the Israeli shekel and dollar rate to remain as it is right now, the impact is going to be about $12 million for next year, which will mainly impact the R&D because most of the salaries obviously in Israeli are R&D cost. So this is one. But this is only, with assumption that the regional change with the dollar Israeli shekel and unfortunately it is what it is. The second thing is about DeviantArt. We've said back in Q1 that we are going to invest in 2017 about $8 million to $9 million and the same for 2018. And we are going to get to a breakeven point at some point of time at 2019. Two, we didn't elaborate where those expenses are going to be, but most of it obviously its R&D because we are walking on the product and integration and so on. And by the way, we feel very excited about this opportunity. So those two things have an impact of approximately $20 million and most of it is going to be in R&D. So to answer your question, excluding those two effects of DeviantArt and the dollar and Israeli shekel rate, we would have seen leverage in the R&D by approximately 1 to 2 points year-over-year. It doesn't change the philosophy of the R&D as the way that we see that, I actually see the R&D as part of the growth. And I think that our investments in R&D has proven that the ROI in those investments were really positive, because you know 2017 the year-over-year growth is 40% is the same as the last two years, but overall there is no change in philosophy with regard to the R&D.
Samad Samana: That's helpful. Then maybe a follow-up, for Avishai. So the decision not to advertise on the Super Bowl, I am just curious that how we should think about that in the context of Wix's overall marketing efforts. And if there is again – if there is a certain end result that you are trying to drive by making that change and maybe the type of customers that you are marketing to going forward?
Avishai Abrahami: So I think that the decision is coming from a couple of – a couple of things that happened. So, the first thing is that, we are increasing our marketing budget next year, right. So, obviously we have the budgets that are not acceptable and we are very happy with the one – the [indiscernible] ones that we did before. Thing is that I think first of all, the order is changing, right. There are more ways to advertise today and lot of them – at least an efficient route at least as the Super Bowl. So this is the first thing. The second thing is that – and there are more [indiscernible], so we can measure them better and we can actually do – we believe we could do better things with that. Especially now that a lot of what we're going to be focusing next year is around Code and the very Code which we prefer to go into the more – a bit more, I would say professional or semi-professional, cloud, and when we are marketing to those guys, it's much better to do it with the focus to marketing and then sell with such a broad one. And saying that, we are going to still keep – this is to enter marketing costs, of course we do from Super Bowl, but everything else that we will do will probably stay the same. So, we'll look at it as a small change in terms of do the Super Bowl, not because we have alternate media and it allowed the alternate media allow us to be more focus and actually utilize higher marketing budget and understanding better.
Operator: Your next question comes from Nat Schindler with Bank of America. Your line is open.
Nat Schindler: Hi guys. A good another great quarter. Thanks for taking my question. One question and two completely unrelated parts. So first, can we follow-up on Ron's question about business model for Wix Code, and just a little bit more detail here. Not specifically what you are going to charge, but how are you going to charge? Is this going to be sold in a very similar to your core product always it's different? It has a different customer base, and one that is usually reached by price software sales. So, is there any changed how you envision going to market on this versus what you are doing currently? And the second part of the question again is completely unrelated, so kind of its still one question. If you look at what – you mentioned the ADI as driving conversion in this quarter. But specifically back in Q1, I think we've had a little bit of a pump thinking that the ADI was a major driver of the upside there that got people almost over excited on what could have happened in the future. What gives you the confidence that this quarter specifically it is the ADI that's causing things to improve conversion and really causing some growth to accelerate in users?
Avishai Abrahami: So let me start with the second one, because I think that's the easier one, right. So, ADI realistic about a year ago and then since then we improved. In realistic, it was doing okay, but then there was so much things we could fix and improve that it was very obvious and then we continuously do that. Then last six to seven months, we've been testing it on large different kind of tropic environment scenarios, directing traffic to ADI outside, without ADI trying to understand when it drives more impact being smarter about who gets ADI, who gets the combination, who gets to the Editor. And I think that today when I look at all of the tests, I think that we have all the statistics to say that it has significant impact. ADI is driving conversion up. It was kind of also easy to see because if you look at the other thing that will resume, this is the major change that we did in conversion as we went really upwards. And then pretty much the same time that we did most of the growth in ADI which is around the beginning of the first quarter. So, that's allowed us to say that. I want to mention again that ADI in itself, right, is an amazing product, but when combined to the Wix Editor, that's when it really shine, because people were going to ADI and do something, then they want to tweak it a bit more and change some small changes. And then they'll go to the Wix Editor and finish it. And I think this is where Wix is so powerful, so this is why I am excited about, taking it even one step. So we have ADI, where we start, Wix Editor can finish everything and Code, we can do unbelievable things, so we're bringing this whole platform of thing that you can use. So, I hope this answer your… The second part of the one question built for many, many different subject. Okay. Now I'll go to the first question. And, so first part of the first question, sorry, and so business model for Code. So, I think that I want to be clear here. We are not building an enterprise product, okay. Wix Code is not enterprise product, we're not selling service when you were not building this cloud deployment for you, we're not going to have self enterprise sales people, running around and trying to sell you $1 million project. And now we are going to have professional services running after that, at least not in any future that I see currently. The way it works is like, so we have a police department now that has been using ADI, okay and in the Code, and it's in the beta. So they have their own internal systems. They want to follow that it can do a lot of different things. They're probably going to need a different way to secure their data bases because that I am sure they're going to want to advance monitoring of these and advance other things they want to do on it. So they will probably need a way to isolate their service. They will probably need a way to install things on the server which normally we don't give and they will need access of our APIs. So, it's very likely that very soon they are going to tell us, okay guys, we are happy with them. So how do we take it to the next level, and then we'll say okay, you can get your own environment and this will be a different price. So this is the kind of example of how I think about things. The database of ADIs, of Code is a really good database, so most of what I would say is multi-million size businesses we'll win, but if you are building Yelp, okay, on top of it, for example okay, which is something that we saw some of our users trying to do similar things to Yelp, then course you need a different scale of database. Again this is the way for us to up sell and sell you in different product. But it's all going to be in the Wix way which is, means we are not doing professional services, we are not going to do something just for you, okay. We are just going to build a task to upgrade to higher and higher and higher level of service. And this is how we think about it. Theoretically, I think that with the technologies that exist today, we can scale it out that in the future you would actually be able to build Yelp on Wix Code, okay. But we need to see that the demand is there and then we need to provide a solution, and I think the pricing should correlates to that.
Operator: Your next question comes from Jason Helfstein of Oppenheimer. Your line is open.
Unidentified Analyst: Hi. This is Jason's associate [Vince] Thank you very much for taking the question. So, my question is about Wix Code and premium subscription. So how would you think about Wix Code contributing to revenue in 2018? And do you expect a jump in premium subscriptions representing that has been used at the web pros represent? Thank you.
Lior Shemesh: Hi. This is Lior. So I think that there are that can be multiple contributions. First of all, it's how to tell exactly where this contribution is going to be, it's going to be late in 2018, but I think that's most of it is going to be in 2019. And the contribution can be in a way of – again increasing conversion. So for example, we are talking about pros and the designer using the Wix Code, so they basically can increase the use of the Wix's platform, because right now they can build for example website for a real estate broker. So we've just increased the options in terms of how to use the Wix's platform. So I think that it might increase conversion. It might increase ARPU As Avishai mentioned because we think that they are going to do some – they are going to use more functionalities uploading the more media. So, obviously it's also in some of the cases, it might change the pricing. The third impact is simply because of the fact that it open a much larger market for us. And I am talking specifically about the pros. We know that approximately 90% of the website in the world are built by pros, so I think that this market is larger and I think that it's open a really a big opportunity for us, which I think that will benefit in the future quite significantly.
Operator: Your next question comes from Brent Thill of Jefferies. Your line is open.
Brent Thill: Thanks. You mentioned conversion rates are an all-time high. I was just curious if you could walk through what you see is the primary factors for driving that improvement? How much room is left from your perspective to keep driving these record highs in conversions?
Avishai Abrahami: So if you look at – so just to show how we look at it. If you look at the Code's graphs, you can see that we just passed a 4% conversion on the first Code. And you can do it by justifying the amount of free users by the active premium. Sorry, the active premium is divided by the amount of per free users, and they corrected me here, and how to calculate percentage in the correct ways. I think that the key driver for that I think is a combination of a product we launched. ADI probably being the lead, but and also a bunch of improvement need on verticals. And I think the Editor sales, I think we are getting more – we are able to serve better in easier way very more of what our users are trying to achieve. I think this is contributes a lot. Data side leap of course is that I think our marketing department is continuously working on the brand and we continue to see those users that come to Wix, not because they search in the internet to how to build a website, because they went to Wix, because they know it's a best place in the world to build the website and those users of course tend to project better. So those are the kind of reason that we see. I think that if you look at all of them, no reason that there is – no reason why we shouldn't continue to improve on. And the other thing that I love to do is actually looking at the conversion on the last five years. So, I think if you look at, you can actually calculate it. I think in Q1 and year before, every year in the last five years, conversion went up, okay. There are a few companies that can go and say that and we can clearly say that and actually show it. So, I think that, you are probably going to see the same next year and the year after, because I think there is so much more we can do with ADI in the verticals and Code because Code will also contribute to that.
Operator: Your next question comes from Alyssa Johnson with KeyBanc Capital Markets. Your line is open.
Alyssa Johnson: Thank you. I wanted to ask you about kind of ADI rolling out internationally, where that kind of the challenges and steps you have to take in order to do that and kind of how long does it take for a given geography to kind of go out to a new international, and kind of what would be the scope that you guys are speaking on that?
Avishai Abrahami: Just to know, this is the exact same question I ask my team. Why does it take you so long? I thought you can do it in a week. And they keep not agreeing with me. So I'll try and give you the reason that they think are right, which is ADI builds not just the layout of the website, it also creates the content, the content being the actual text and the images that fit, right. And obviously, if you got to Brazil, you need to change the text to Portuguese, if you to Spanish speaking countries, it should be Spanish and that's kind of the thing that we have to do for any language that we support, okay. And if many countries can use English, some kind of a thing that everybody understand and then they write on text ADI is trying to help you by writing a lot of the text for you. The other part of that are the images, and the images are in Brazil and United States. When we do a template, they could be very similar when you do a Wix ADI site they have to be a lot more localized. And same thing goes for Europe, as people want something that conveys their culture. So, it's a bit more of an effort. The other side of it – the other side of it is that in some places, content is a bit different, so in the U.S. testimonials will take a bigger role than in Europe for example. Okay, and things of this nature also something that we have to think about in ADI. Same of that, we are working now on and we're listing more languages. I think that the product is definitely in the place that it should be launching in more markets and I believe that we are going to see inflation.
Operator: Your next question comes from Naved Khan of SunTrust. Your line is open.
Naved Khan: I have a two-part question. So, you've been adding north of 5 million users – listed users for some time. Where is most of the – how is the growth distributed across the different geos, which areas of geos are growing faster. And then I had a quick follow-up on the – on the product pipeline, so it seems like there is lot of hiring and R&D. If you just look at the product pipeline for the core excluding DeviantArt, how does the product pipeline look like today versus historical levels?
Lior Shemesh: So, with regard to the users, in terms of geography, about one-third comes from North America. The rest are coming from the rest of the world. Kind of consistent flux we have before, although we see a slight increase coming from North America. Some of the regions we are talking about South America, we are very strong over there and obviously in West and East Europe. With regard to DeviantArt, how the product pipeline look compared to other years. This year, so I think that as I said before, we actually have a couple of incredible projects cooking and coming and so I think that you are going to see South America is coming in next year, but beyond that a couple of different project that we really are proud of. I can actually say that one of them is already being tested and in a very soft launch and we are not going to say yet, which product is that, but I think that we have a lot of really cool things coming in the next year. Probably more than we had this year I think.
Operator: Your next question comes from Lloyd Walmsley of Deutsche Bank. Your line is open.
Matt Damon: Hey guys this is actually [Matt Damon] on Lloyd's behalf. I want to segue from an earlier question about the international ADI rule out. I'm curious about what OpEx ramifications that has. I know in the past you talked about seven to nine months payback from marketing and it sounds like OpEx is – or R&D OpEx is ramping up, but how should we think about the OpEx trajectory if the roll-out happens sooner or later than expected. Just how should we think about OpEx in that context?
Lior Shemesh: So, I think that when we talk about our OpEx, I think that you know let's concentrate on marketing and then I can basically touch base on the R&D. But with regard to the marketing, it's always like what we call TRI term return investment meaning that the same as for the ADI and for any other project, we invest money marketing with a single KPI that the return should be seven to nine months, and this is the way that we operate. We manage to increase the marketing budget significantly over the years while remaining with the same TRI of seven to nine months. So, this is something that is very exciting for us and I think that the ADI offer new opportunities basically for people first to complete the website. So, I think that overall, think about it this way when conversion increase, the TRI basically go down, so it enables us to invest more in marketing in order to be back with the same seven to nine months. With regard to R&D, I think that I elaborate I think that R&D is not just about ADI. R&D is a lot of thing, about new products, about the Wix Code, it's about maintaining the core products that we have and obviously we are going to see in the future, the level which comes from the R&D, but at this point of time, as I mentioned before, in 2018 we are going to see some kind of increase but mainly coming from the DeviantArt project which I mentioned before and also about the dollar shekel rate.
Operator: Thank you. Your next question comes from Kerry Rice of Needham. Your line is open.
Kerry Rice.: Thanks a lot. Two questions, mostly about guidance and maybe 2018 a little bit. You know, you've seen good converge and you've seen strong net adds and although you raised full year 2017 kind of guidance for Q4, it's a little bit below what we were expecting. Is that – would you chalk that at the seasonality? Is there anything else that you are seeing in Q4 that doesn't kind of give you the confidence to raise a higher level of Q4 revenue? And then looking forward, without the Super Bowl add, you know how do we think and I know you are giving, not giving 2018 year guidance, but how do we think about a cadence of net adds. So, usually you've got a really strong Q1 tailwind and then it kind of dissipates through the year, so should we think about that being a little bit more dispersed evenly through the year and then, sorry for all the questions. And then around sales and marketing, should we see some additional sales and marketing leverage since you are not spending on the Super Bowl add or is that just reallocated to different channels? Thanks.
Lior Shemesh: Okay, so I will start with the guidance. Obviously, we are – we increased the guidance for the full year, raising the guidance for a 40% growth on a year-over-year basis. And again, with regard to the fourth quarter, we have a great there. The third quarter was really great and we managed to exceed our own guidance. And we guided for the full year, so Q4 obviously if we going to have an upside, obviously it's going to be more than the model itself. But right now, when we guided, it was based on the KPIs that we see as on now. We are overall very happy with the 2017 result, because it's the third year in a row when we managed to achieve a 40% growth on a year-over-year basis, but just with a much larger numbers. With regard to the Super Bowl, first of all you won't see more leverage, because as Avishai mentioned, we are going to take this portion of the branding budget and to allocate it differently, mainly to uses like pros and designers because we obviously you know marketing intent to serve the product as well and we think that we have more opportunity and better ROI over there. So, this is what we are going to do so we are just going to allocate differently a small portion of our budget, which is the Super Bowl, but we are not going to lower it. That said, you should expect more leverage in 2018 and we indicated it in the shareholder update by few points just because of the embedded leverage that we have in our model. With regard to the Q1, Q1 usually we invest more, not just because of the Super Bowl, but also because it's the beginning of the year and usually this is the case and we see a very good return in the first quarter. I don't think that it's overall going to change. Remember that Super Bowl is not something that impacts on a specific quarter. It's a brand activity and it affect is all over the year, not necessarily during the third quarter.
Operator: Your next question comes from Jonathan Kees of Summit Redstone. Your line is open.
Jonathan Kees: Mine should be pretty quick and I'm going to take a different tack for those with my questions. DSOs ticked up from sequentially from recent lows. Just curious in terms of if there has been a change in collection process there and how we should model that going forward? And then second thing is, CapEx ticked up and you are seeing that just because you are going to be staffing more people, so it's in order to accommodate the additional staff. I know you kind of talked about your investments in R&D as well as also just now with reallocating your S&M, just curious in terms of explicitly talking about your staffing needs, and how that looks going to 2018. Thank you
Lior Shemesh: Okay, so with regard to the CapEx, you are right and I think that it's meant to accommodate the increase in our headcount in mainly getting prepared for 2018 as usual, so you know this is most of our CapEx is around facilities. So, we had a modest increase in our CapEx for this year by I think that was about $1 million to $2 million in order to accommodate that. With regard to the days sales outstanding, you are talking about account receivable?
Jonathan Kees: Yes. Trade receivables.
Lior Shemesh: So, I think that it's just – I think that it's just about the end of the quarter and timing of getting the money from the different processors and gateways is like really nothing unusual over there. This quarter, the end of the quarter was Saturday and that was you know the result. So, we got you know the money like they asked us, but it sometimes happens.
Jonathan Kees: So you should say around this level, just for modeling purposes?
Lior Shemesh: Yeah.
Avishai Abrahami: Yeah. It shouldn't change. Operator Your final question comes from Tim Klasell of Northland Securities. Your line is open.
Tim Klasell: Just a quick question jumping back to Wix Code, what are the target customers, what are they using now to build their website? And beside obviously not the Super Bowl ads, how are you going to try to approach them to convince them to come over to Wix, what marketing, what sales, specific sales channels are you going to address these customers?
Avishai Abrahami: So, what are we using right now? I think that we've seen that from our talks with their machine, a huge variety. Okay, so we've seen people using Drupal, people using Wordpress, a lot of them just were using RELAY development tools, so that will be a text editor, color editor and those would be to debug and deploy [indiscernible]. The data part of it, or people that couldn't, just couldn't do the project that they want in there, and this is a – that was a big part and we'll say probably about, at least 50%. So, it's a big combination of users. Our intent to approach and so, they in sum include about 114 million users, right and lot of those guys already are with Wix, okay. So, and lot of them heard about us, they played with Wix. They are Wix users and then so I think that in many ways, our current marketing strategy will allow us to approach a very large number of potential Wix Code users. The other thing is that, those guys tend to be in a very well-defined community or communities under web, which are very easy to approach and to market into. Lot of those communities, where we can see a lot of people that are very sophisticated in our ability to do very smart design is DeviantArt. So, I think that we're feeling very confident in our ability to approach and find those communities and then structure them. It's easier to market well defined communities into [indiscernible].
Operator: And that was our final question today. This concludes today's conference call. You may now disconnect.